Operator: Ladies and gentlemen, thank you for standing-by, and welcome to the Axalta Coating Systems' First Quarter 2017 Earnings Conference Call. Presenting today will be Charlie Shaver, Chairman and Chief Executive Officer and Robert Bryant, Executive Vice President and Chief Financial Officer. [Operator Instructions]. Today's call is being recorded and replays will be available through May 5th. Those listening after today's call should please take note that any information provided in the recording will not be updated and therefore may no longer be current. At this time, I'd like to turn the call over to Chris Mecray for a few introductory comments. Sir, please go ahead.
Chris Mecray: Thank you, and good morning. This is Chris Mecray, Axalta's VP of Investor Relations. We appreciate your continued interest in Axalta and welcome you to our first quarter 2017 financial results conference call. Joining us today are Charlie Shaver, Chairman and CEO; and Robert Bryant, EVP and CFO. This morning, we released our quarterly financial results and posted a slide presentation to the Investor Relations section of our website at axaltacs.com, which we'll be referencing during this call. Both our prepared remarks and discussion today may contain forward-looking statements reflecting the Company's current view of our future events and their potential effect on Axalta's operating and financial performance. These statements involve uncertainties and risks and actual results may differ materially from these forward-looking statements. Please note that the Company is under no obligation to provide updates to these forward-looking statements. This presentation also contains various non-GAAP financial measures. In the Appendix, we've included reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For additional information regarding forward-looking statements and non-GAAP financial measures, please refer to our filings with the SEC. I will now turn the call over to Charlie.
Charlie Shaver: Good morning, everyone, and thanks for joining us today. I'm pleased to give you an update of our first quarter 2017 financial and operating performance. Our results overall were strong and were led by robust 8.9% volume growth. Continued solid adjusted EBITDA growth and stable margin levels versus last year. We've also continue to make progress on our operating initiatives, including ongoing productivity improvement and we closed two new acquisitions in North America. We also recently sign the larger North American industrial wood coatings transaction subsequent to the quarter. Overall, we continue to see a favorable global business climate driving stable demand for products in the vast majority of our markets, as well as some stabilization in Latin America that we remarked on our last quarter, and fairly steady vehicle demand in North America for both light vehicle and commercial vehicle end markets. I'd now like to review some of our first quarter highlights and progress on our 2017 priorities. So, if you would turn to slide three of our presentation. First quarter financial results met our expectations overall, including strong top-line performance and solid bottom-line growth. Net sales growth is 7.7% ex-FX, which included volume growth of 8.9% was strongest for some time. Organic growth of 3.2% before the 4.5% acquisition contribution was at the higher end of our previously communicated guidance for the full year. We're particularly pleased to see positive organic growth before FX for all four of our end markets, a certain headwind seen in 2015 and 2016 bottomed in the fourth quarter of last year. This includes broader line America demand as well as areas of industrial and commercial vehicle coatings that tempered growth during 2016. Broadly, Axalta execution relatively to top-line growth goals, we're on track this quarter led by good results showed volume contributions with all four end markets. Adjusted EBITDA reported a $203 million was also very much on track relative to our expectations, with margins up 20.2%, relatively consistent with the 20.4% reported in first quarter last year. Regarding operating highlights for the quarter, our new product innovation issues continue to yield positive results. We saw a new production introductions across several end markets, highlights include a new Alesta Lync, drown drop powder coating for industrial customers globally, the New Imron 3.1 Direct-To-Metal coating also from our global industrial markets, a FlexBase 7700 clearcoat for sporting equipment. And finally, a new Imron Elite clearcoat for commercial vehicle applications. We are also pleased to report that our ongoing productivity initiatives remain on track, or at least $50 million in net savings for the year. We continue to pull from a broad list of projects across multiple areas of opportunity. This past quarter, we approved the closure of two smaller facilities as part of our overall objective to better utilize capacity to other locations to drive out unnecessary overhead. Regarding the balance sheet, after significant refinancing actions completed in 2016, which meaningfully reduced our interest expense and provided other benefits. Our overall debt profile at March 31st, was consistent with the year-end. On the cash flow statement, we posted improved year-over-year performance, with a lower cash used from operations of $6.5 million in the first quarter versus the use of $13.3 million last year driven by stronger operating results and reduced interest expense. This result keeps us on track to meet our free cash flow guidance for 2017. As the first quarter typically sees a seasonal use of cash. Regarding capital deployment M&A. We have had a highly eventful quarter, starting with the successful completions of the Ellis Paint Company and Century Industrial Coatings acquisition in January, which we noted on our last call. Earlier this month, we also announced our largest transaction to-date with the agreement to purchase the North America industrial wood coatings business of Valspar for $420 million subject to final working capital adjustments. We are very excited about this transaction for a variety of reasons. For mostly in the potential to create strong value for Axalta both near and long-term, as we use the business as a platform for future growth. This deal came to us as a result of an agreement to divest the business to satisfy regulatory hurdles of Valspar merger with Sherwin-William. We will operate the business as a separate business unit within our industrial end market. We are excited about many facets of this transaction as if it fit squarely into our strategy to expand our industrial coatings franchise by opportunistically acquiring attractive businesses with strong market positions in the industrial verticals. This wood coatings business is a top three competitors in the 1.5 billion North America industrial wood coatings market, with a fully developed set of products and brands. These products are sold directly to manufacturers of building products, cabinets and furniture as well as to distributors through a dedicated sales staff and marketing staff. We will also pick up two dedicated production facilities as well as research and development labs and look forward to welcoming the employee base a slightly under 400 employees to the Axalta family. Closing is subject to Federal Trade Commission and Canadian competition bureau approval as well as other customary closing conditions. We are planning to finance the transaction with committed secured financing and do not expect the added debt to impact our overall cost to borrowing based on the current term loan market. Lastly on capital allocation, we also announced in March an authorization to repurchase up to $675 million worth of Axalta shares on discretionary basis with no time commitment to completion. We're pleased to have that option in place to take advantage of market opportunities overtime in order to create value for our shareholders via this repurchase mechanism. Our approach to this will based on disciplined via value the purchases to be conducted when the share price offer sufficient upside and with the acceleration of activity in the event that GAAP wide. In summary, we're happy to report the solid first quarter results. We demonstrate strong underlying operating results but also made excellent progress on our key strategic initiatives. This is particularly true in terms of accelerating growth ongoing productivity improvement and the ability to source closed integrated acquisitions that are clearly accretive to shareholder value. As you can see with this growth we're also steadily widening the - overtime for further value creation as a leader in key areas of refinish industrial transportation coatings. Turning to slide four, I'd also like to briefly update our progress regarding our key goals and priorities for 2017. I noted our objective of outgrowing our in markets and this starts with organic growth, each quarter I'll highlight some of the new products we've introduced. I also like to highlight that our industrial end market so high single-digit organic growth in the first quarter going from strong new product and new customer account additions. And finally, consolidation between coatings market participants has yielded us the wood coating opportunities this quarter as a key in organic growth source. Regarding ongoing productivity initiatives, I've also already noted that we're on track to achieve our full year savings goal. We continue measure an expected result from the organization each quarter in this area. alongside our Axalta way savings goals, we also continue to refine our operating cost discipline. This includes both alignment of operating investments with capital allocation discipline and measured return hurdles, as well as a focus on improving manufacturing quality and right first time metrics to ensure we don't leak incremental profit dollars from poor operating execution. We believe we're making solid strides in both of these areas beginning with applying metrics to many aspects of business and designing a full reliance operating system to maximize quality performance. In terms of driving customer productivity and innovation, we highlighted this foundational aspect of our business during our capital markets day February 22, and I believe our robust commitment to R&D and intense focus on customers through our leadership structure underscores this effort. Looking at capital allocation discipline, we've taken several steps to deploy capital this quarter including adding our share buyback authorization and now undertaking a larger sized M&A opportunity. We believe that execution and buybacks overtime as well as disciplined we'd apply M&A will steadily improve our overall return on capital even with the level of capital deployment that exceeds our initial conservative guidance of at least $100 million that we lead out on our February call. Our M&A pipeline remains robust and we're not signaling a required pause in either deal activity or potential share repurchases. Our credit metrics and capital headroom remain excellent giving us substantial maneuvering room for future opportunities. That being said, we're still maintain our target leverage metrics for the medium-term and would intend to return back to that 2.5 to 3 times range in the absence of any significant alternative capital usage in the near term. Our overall flexibility to undertake capital allocation rest of course on strong free cash flow generation and solid balance sheet. We're pleased that Q1 free cash flow remains on track and should continue to support our objectives for growth and return to capital improvement going forward. Appreciate your support and look forward to updating you on our ongoing progress, as we move through 2017. I'll turn now over Robert to share some further details on our first quarter results.
Robert Bryant: Thanks, Charlie, and good morning. Please turn to slide five for a summary of our first quarter consolidated results. Constant currency net sales in the quarter increased to strong 7.7% year-over-year driven by 11% growth in performance coatings and 3.2% growth in transportation coatings. This growth was composed of 8.9% volume growth slightly offset by 1.2% lower average selling price and mixed realization. Negative foreign currency translation reduced as reported net sales by 2.2% in the first quarter compared with the 6.4% impact in the same quarter a year ago and 3% same last quarter. The majority of the FX impact in net sales came from the Euro, the Yuan and the Mexican peso. Axalta's 8.9% volume expansion included organic volume of 4.4% coupled with 4.5% acquisition contribution led Dura Coat and other acquisitions completed over the past 12 months. It is important to highlight that we experienced organic volume growth in all four end markets, refinished, industrial, light vehicle and commercial and in all four regions. Performance coatings organic volumes were up mid-single-digits, including positive contribution and all regions except Latin America. Transportation coating has also posted mid-single-digit organic volume growth, notably including sales growth from both light vehicle and commercial vehicle end markets. Overall price and mix realization was a decrement of 1.2% in the first quarter driven by moderately lower average selling prices in most end markets except refinished. As expected, we saw some degree of sharing of savings from lower inputs but certain customers, though we are pleased that this did not preclude a strong overall quarterly profit result. We saw some modest impact from weaker mix and refinish as well as other end markets. Adjusted EBITDA in the first quarter of $203 million increased 4.3% from a $195 million first quarter of last year. This profit growth was moderated somewhat by a small 20 basis point reduction in adjusted EBITDA margin to 20.2% versus the same quarter a year-ago, driven largely by positive volume drop down, some variable cost savings and savings from our productivity enhancement programs, but that was more than offset by unfavorable price and mix effects, foreign exchange impacts and ongoing operating investments. Moving on to our first quarter performance coating results. First quarter net sales and performance coatings increased 11% year-over-year before FX driven by solid growth in both end markets. Total volume growth of 11% included 6.7% acquisition contribution with core volume growth the 4.3% led by solid result refinish and accelerated growth and industrial, average prices in segment were consistent with the prior year. Net sales growth as reported was offset by a 3% currency translation impact. Refinished net sales increased 5.7% effects versus last year's first quarter driven principally by a combination in organic volume and acquisitions and moderate pricing realization. As a reported, net sales growth 2.6% reflected a 3.1% negative foreign currency translation effect. Constant currency net sales in our industrial end market increased an impressive 23.3% year-over-year, including significant contributions to volume growth from Dura Coat and other acquisitions. First quarter organic volumes and industrial were also up solid mid-single-digit as headwinds from Latin America and North America appear to have stabilized. The effective industrial average selling prices and mix however were detractors. Performance coating has generated an adjusted EBITDA of $117 million in Q1 versus $110 million in year-ago quarter, a 6.2% increase. This result was driven by a positive contribution from both organic and inorganic volume growth and moderate variable cost benefit, partially offset by negative currency translation impact and ongoing operating investment spend. Adjusted EBITDA margins of 19.9% compared with 20.3% in last year's Q1 driven by volume growth and positive progress with our productivity initiatives again offset by mix FX. Switching now to our first quarter transportation coatings results. Transportation coatings net sales for the first quarter increased 3.2% year-over-year before a negative translational currency impact of 1.1%. Net sales growth included 1.5% contribution from acquisitions during the period. Organic growth of 1.7% in constant currency was driven by low single-digit light vehicle growth while we saw consistent sales levels year-over-year in commercial vehicle. Light vehicle net sales in the quarter increased 4% before foreign currency impacts with most regions contributing and led by solid above market growth in EMEA. Growth in China as well as a resurging growth in Latin America albeit of a lower market base. Stronger demand and production rates in Brazil in the first quarter do seem to indicate a potential stabilization in that market. Asia Pacific also posted mid-single-digit volume growth though offset by price and mix pressure, as we've highlighted on previous calls, increased 0% ex-FX as production volume lap the declines that began in the fourth quarter of 2015 and were further supported by more stable orders for both North America and Latin America heavy duty trucks, as well as non-truck commercial vehicles. Stronger Class A truck order rates in North America for the last four months have led to upwardly revised production forecast for 2017. Providing enhanced support for our own forecast this year. Likewise, broader commercial vehicle demand appears supported overall in the recent months. Transportation coatings has generated first quarter adjusted EBITDA of $86 million versus $85 million last year with an associate of adjusted EBITDA margin of 20.5%, which was about even with the same quarter prior year. Stronger volume drop through was offset by weaker price and mix contribution, while some variable cost tailwind was also offset by increased business investment to support growth. Now, moving on to a few items related to our balance sheet. As of March 31st, cash and equivalents totaled $439 million, down from $535 million at year-end. Total reported debt was $3.3 billion, resulting in a net debt balance of $2.9 billion. Our net debt to trailing 12 month adjusted EBITDA ratio was 3.1 times at quarter end, and uptick from three times at year-end, including seasonally normal cash use and cash outflow from several M&A transactions completed in the quarter along with the impact of a stronger Euro on or Euro principle debt balances. We're very pleased with our first quarter free cash flow outcome, defined as free cash flow from operations, less capital expenditures, which was the use of $38.8 million compared to a use of $53.6 million in Q1 2016. This included moderate volatility and working capital accounts coming off a strong year-end balance sheet offset by stronger cash flow from operations. In total, we are pleased with an overall strong outcome versus last year's first quarter. There was some help as well from slightly lower capital expenditures year-over-year due to the timing of some 2017 CapEx products. Our team at Axalta continues to focus on prudent capital allocation. In the current leverage ratio, it's slightly above the 2.5 to 3 times medium term targets that we have set and recently achieve. The industrial wood coatings transaction once closed will also slightly bump up our leverage in the near-term. We note that our credit metrics remain strong and we maintain our standing leverage targets. But do not look to remain within that range at all times or at the expense of missing strong value creating deals. That industrial wood coatings transaction is a perfect example of when we would look to use leverage and a value creating transaction, following which we would expect the ratio to return to a normal range in the absence of any incremental transactions in the immediate future. Investor should expect this pattern to continue overtime essentially using the stated leverage range as a reference point. Moving on now to 2017 guidance. We are reconfirming our outlook in all principal components provided on our February 8th earnings call, which also included the two acquisitions completed in January. We would plan to provide an update of this guidance at the time that we closed the pending transaction thus far our wood coatings business. In the meantime, for net sales, we expect as reported net sales growth 1% to 3% or 4% to 6% before currency impact, which is inclusive of the 2% to 3% benefit from completed acquisitions. The 3% FX impact remains unchanged for now based on a basket of external forecast. In spite of running slightly below that target as of the first quarter based on composite forecasts for the reminder of the year. Commenting on end markets in brief, Axalta's refinished business is expected to remain stable and to support low to mid-single digit core growth for the full year with potential upside from share gain and geographic expansion efforts. Our industrial end market is expected to grow in 2017 with first quarter volume supported with this outcome based on new account generation and boosted by M&A contribution from multiple deals. It's encouraging to see that both the energy markets in North America and the broader Latin America industrial end market appear to stabilize in the recent months to mitigate further headwind seen over the last several years. Light vehicles anticipated to grow net sales slightly this year driven by global auto production and Axalta specific business wins. The first quarter outcome also supports this outlook with overall global production up 5.8% in the first quarter coming from upside to earlier forecasts in all four regions. We do expect the potential moderation of this rate however as the year progresses. As previously mentioned, commercial vehicle market data has also been encouraging in recent months. Adjusting that our volumes in this end market could be supported by slightly stronger industry demand than we had earlier assumed. It remains too early to call this a trend, however and some industry observers no caution in the outlook for truck production based on tepid freight metrics and pressured trucking industry profits. For adjusted EBITDA, we reiterate our full year range of $930 million to $980 million. In arriving at this range, we note that the first quarter saw solid top-line performance though it was offset impart by weaker mix. We further note that the first quarter did not see any net impact of raw material inflation due largely to inventory timing lags but we are confident that this will become a more notable factor in the remaining quarters this year, if raw materials remain at current price levels. In recent months, we've seen fairly rapid increases in raw material cost in Asia Pacific led largely by supply side considerations including stricter application of environmental regulation in China and other factors. For this reason, our quarterly phasing expectation is for the remaining quarter's adjusted EBITDA to come in in a fairly straight line fashion, reflecting initial pressure from raw material inflation in Q2, which would then be mitigated in the remaining quarters with pricing actions that we have initiated and we'll continue to implement in cooperation with our customers. For interest expense, we maintain our $150 million guidance. if they're reminding that we maintain interest rate swaps and caps on our floating rate debt, which offer a hedge to our interest rate exposure. In March, we executed new interest rate caps, which become effective when our current swaps and caps mature at the end of the third quarter. These caps will remain in place through the end of 2019. Our adjusted affected income tax rate is still expected to be between 22% and 24%. The lower as adjusted effective tax rate in first quarter included the related impact of the adoption of the accounting standard for stock-based compensation, which we adopted in the fourth quarter of 2016. We are on track for our range excluding this one-time benefit. Other line items also remain unchanged, including capital expenditures of roughly a $160 million, depreciation and amortization of approximately $335 million and free cash flow of $440 million to $480 million. This concludes our prepared remarks and we would be pleased to answer any of your questions. Operator, would you please open up the lines for Q&A?
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from Robert Coorte [ph] with Goldman Sachs. Please proceed with your question.
Unidentified Analyst: Thanks very much. I wonder if you could talk a little bit, you discussed Robert you said towards the end, there is some pricing actions. The pricing pressure you're seeing has that been formulaic or has that been reactive to what's going on in the marketplace?
Charlie Shaver: Good morning. Right now, what we've seen most of pricing pressure, we've seen - certainly there has been a little bit, because you've seen oil go up over $50 over the past two quarters here and we see a little bit from that standpoint, but actually most of our pricing pressure outside of what's been well documented around TiO2 has really been more supply demand related. We have seen certain products both in isocyanates, different resins in China, some of that's been outages and suppliers have had, some of them just been tightening supply and demand and nothing is that would have been formulaic around oil or gas. To a large extent, I think we'll continue to see some of that, as we go - as Robert mentioned in his comments, as we go into second quarter and so some of that is pricing, we will now go get as we mentioned and it takes us normally a quarter or two to get that. To extend oil or gas related as you correctly point out in many cases it's formulaic and it just moves through the system, but we have seen in a series of our - some of our commodities and specialties, where it's been more supply demand related starting in the fourth quarter last year, some of that will abate as those suppliers get back up and supply and demand gets more balanced. But in other cases, we expect some of those raw materials prices stay with us in which case again we're moving that - we'll move that through the system over the next quarter or two.
Unidentified Analyst: And then if I could ask I know you're going to give updated guidance post Valspar transaction closure approval. But can you talk a little bit about if there any technology overlaps or synergies with that particular business line and what you do today, thanks?
Charlie Shaver: Actually, as we got into the business we were we're actually pretty excited about that. A lot of the technology we have around low VOC, color and in some of the resin's technology, we believe we'll be able to apply to that business. So, innovation - there continues to be innovation in the wood business, not just in North America but globally, and we believe we'll be able to bring some of that to the table. We are as part of the business we are getting the industrial wood R&D organization which is complete all the chemist and all the engineers that go with that as well as the R&D head. So, we feel like we've got a great competency already, and I think in our engagement with those folks up to date although has been limited until we own the business. We believe that there is some great sharing that we can do there. As many of you know, we spend about 4% of sales in R&D and have about 1500 people scattered around the world. So, we're pretty excited about long-term where we can take some of that.
Operator: Our next question comes from Arun Viswanathan from RBC Capital Markets. Please proceed with your question.
Arun Viswanathan: Great. Thanks. So, first question is just, it sounded like you guys trended towards the upper end of your top-line guidance. Maybe you can just discuss how that happened, and which markets turned out slightly better than you expected?
Robert Bryant: Arun, this is Robert. I'd say overall when we look at our four end markets, refinished performed extremely well in Q1, our industrial business overall also performed well, our light vehicle business overall also performed well from a volume metric perspective. We did see some continued price pressure in particular in the Asia Pacific region which pulled back detract a little bit from some of that volume growth. And then in commercial vehicle, we also saw some stabilization in North America as well as Latin America in the heavy-duty truck market, which was also helpful to first quarter results.
Arun Viswanathan: Thanks. And you also mentioned some mix, lower mix in certain of your markets. Maybe just if you can just elaborate on that, have you seen kind of a trade down to less premium products and refinished, and then you mentioned some concessions in OEM. Can you just discuss that a little bit more? Thanks.
Charlie Shaver: Sure. So, refinished mix in Q1 although not dramatic by any means, we have seen more sell-through of mainstream and economy products in certain markets notably in China somewhat in the U.S. and also in EMEA in some of the periphery countries. And collectively this has resulted in the slightly more muted price mix picture, those are still quite positive on a net basis. I think as we continue to grow our presence in mainstream and economy products overtime, we would expect this counter balance in otherwise strong mix that we see from higher end professional body shop sell-through in other markets. That's with regard to refinish. With regard to industrial, we did see lower price mix into Q1. And that was primarily due to the shift in Asia Pacific, particularly China and to a lesser extent in EMEA to some lower price products in energy solutions along with a slightly weaker mix in powder. And then with regard to light vehicle, the pricing pressure that we saw in Q4 and that we saw continue into Q1 was consistent with what we had budgeted and planned for at the beginning of the year. I think we hope that as the raw material picture here turns the other way as we as well as many other companies have announced price increases to offset what we're not able to observe through additional cost and productivity and we're partnering with our customers to ensure the best outcome for both asset and supplier and they as a customer.
Robert Bryant: One quick point I would make on that just on your question about customers shifting. We don't have to see customer shifting to lower price products, these are just a different mix the customers for purchasing in the quarter. So, overall, any region of the world where we have premium customers or mainstream customers we don't - they don't typically shift one way or the other they run the products they have. So, what you do see the with cash back acquisitions and some other things we've don't over the past year, we will continue to see some of these mainstream products grow with us, but that is a different channel of the market than some of our premium customers.
Arun Viswanathan: Great. Thanks. I'll turn over.
Operator: Our next question comes from Christopher Parkinson with Credit Suisse. Please proceed with your question.
Christopher Parkinson: Thank you. Just very quickly returning to transportation coatings. Can you just take us on a quick walk around the world, and runs through what you're see in the key geographic trends puts and takes on your volume outlook and both light and commercial vehicle. Are you hit on decimal North America, but what about the rest of the globe? Thanks.
Robert Bryant: Chris, this is Rob. Just to walk through a little bit of what we saw in you know in the market again, we saw when we look at our performance versus the statistics published by IHS, we did see our performance in access of what the market was North America. In Asia Pacific, we also experienced a strong growth and the In line with the market. EMEA also in a nice turn compared to the previous quarter, EMEA also performed better in the first quarter for us in light vehicle than what we had seen in the fourth quarter. And then lastly in Latin America, we didn't see good performance, but when you waited across Mexico, South America and Brazil, our growth was actually slightly lower than what the market composite was, but we did see a nice turn in that business there that we hope will be a sustained trend. I think some of our commentary looking forward for the rest of the year was if you look at the some of the IHS forecast for the full year, they're projecting global volume growth of about 2% compared to the 5.8% that we are seeing in the first quarter. And hence some of our commentary around a potentially seeing that growth rate slowdown slightly in certain region during the course of the year that's not a given - that's just what the external market forecaster are laying out at the moment
Christopher Parkinson: Great. Can you just quickly update investor simply walk through on your free cash flow guidance, just in the context of the employee's separation cost facility closure et cetera? And how we think should about the longer-term net income bridge in terms of a potential cash generation. And then if there is anything new on your net working capital targets that would also be appreciated. Thank you.
Robert Bryant: So, on the cash flow guidance of 440, 480, we continue from an EBIDTA perspective to see very positive projection to the rest of year. And we look at the other Items to get to our free cash flow guidance for the full year, we remain quite confident in those numbers don't see anything really material changing in that regard. And with regard to working capital, if you look at our working capital performance in the first quarter, we were at 14.8% of net sales compared to an expectation where a prior year 15.2%. So again we're more or less in line with where we thought we would be given our working capital outlook for the year.
Christopher Parkinson: That's great color. Thank you.
Operator: Our next question come from Ghansham Panjabi with Robert W. Baird. Please proceed with your question.
Ghansham Panjabi: Hey guys, good morning. Robert, just to clarify comments on EBITDA progression for 2017. Are you expecting 2Q EBITDA to grow on a year-over-year basis given the raw material increases that you referred to?
Robert Bryant: So, I think what we - although we don't provide quarterly guidance, we did want to indicate in how we saw the development from a quarterly perspective of EBITDA for the remainder of the year. I think our expectation is that in Q2, we will see somewhat of an impact from higher raw materials which will hit us at the same time that we have implemented price increases. As you know, there is a relatively short lag in performance but in transportation the lag between when those prices actually come into effect can be several months and therefore what we expect to see is a little bit of a hit in that in second quarter and then expect to make that up in the second half of the year.
Ghansham Panjabi: Okay. And just in terms of your comments on Latin America, as you seem a little bit more optimistic on, what do you sort of see in the market there the improvement just the function of ease of your comparisons from last couple of years or do you see a broader recovery that starting to unfold there?
Robert Bryant: I think when we talk about Latin American, again we have to be careful about making generalizations. We talk about Mexico, Mexico continues to perform extremely, extremely well in all four of our end markets, it's really South America and within that Brazil, that for us is the one that really moves the needle. It seems like Brazil is potentially starting to turn the corner, we do see lower inflation improved confidence in a more accommodative monetary policy, but we continue to believe that it's going to be more like 2018 before we see anything more material than marginal growth, the ongoing correction of a deep macroeconomic both fiscal and external imbalance that will, we believe necessitate kind of a slow and a gradual recovery. So, I think there are our view on Brazil is it feels like it starting to bottom, we can't say that for sure, but we are seeing some encouraging data out of Brazil, not only on the light vehicle side of the business, but also on the refinish and industrial side of the business. So, we expect that path upward not to be a sharp bounce back, but rather a gradual improvement in the best case.
Ghansham Panjabi: Okay. And just one final one for Charlie, if I could. Charlie, you comment on the Valspar acquisition as the platform for future growth, can you just expand on that aspect as it relates to your overall vision for industrial coating segment overtime? Thanks so much.
Charlie Shaver: Yes, sure. Again, this business we are acquiring today it's in the industrial side of the business, it's not retail. We like that because it's very similar to our business model that we run for other segments in industrial. Post this acquisition, our industrial business will be about $1.1 billion in sales for us. Again, it's a function of couple of our acquisition we have done the rest of growth comes from. But it does allow us in the platform to think about wood on a more global sense and also other adjacencies. But if it fits in really well, when we look at the type of customers that we sell into, the larger industrial building products customers, but also the distribution model. So, we think there will be for additional distributors that we are taking on, additional pull through for other industrial products as well as some of the folks in other regions are getting pretty excited for us about being able to offer some of these products, because we've got manufacturing in other parts of the world that also allowed us to take some of that technology on a faster sense than we would have into other regions as well.
Ghansham Panjabi: Perfect. Thank you.
Operator: Our next question comes from David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter: Thank you. Charlie, on the M&A front, how is the pipeline now going forward, is anything left in there, and your constraint with the near term given the Valspar acquisition in your debt levels?
Charlie Shaver: That's a good question. I think Robert touched on it briefly in his comments. But our pipeline remains pretty full. I think in some cases that's a function of some of our other - some of the other competitors being busy on other things, but also, I think it's also a function of when we look at the activity more in the industrial or the performance segment for us, there is still lot of consolidation to go around, globally. So, I think we're not lacking for things to work on and things to look at. Clearly, valuation we continue to stay discipline, no valuation. And so, I think for the next year, certainly for the next year we think we have more than enough to work on as far as the bolt-on go. I think we also want to maintain though plenty of liquidity for these types of opportunistic things to come up like the wood business. So, we will continue, I think we have given guidance that from bolt-ons, we would like to add a $100 million, $150 million top-line a year and I think we will stay to true to that course as we go on through this year and into next year.
David Begleiter: And just on refinished, Charlie. How are pricing trends that business and how do you look for them going forward?
Charlie Shaver: Some of the refinished around the world, we continue to have our normal cadence on price increases. Again, for this year some of that certainly we'll have to look at as always for currency movements and then also raw material movements, but we continue to get price in refinished as we've talked about on prior calls that tends to be a little bit choppy as you go through the year, because there is a cadence we use. And I think this year, we'll have to look at raw materials in some regions and should we see escalation that stays up there, again more supply demand related than oil and gas, I think we may have to look at a different level of price increases or some cases maybe a second one in some products or certain brands as we go through the year. But I think the reality there is - those are pretty disciplined markets. But most importantly, when you look at the coating space and refinish, I mean there is not anyone who has really back integrated that can be opportunistic in this kind of situation. So, I think all of this will have to get price as raws goes up and I think it's a pre-level playing field, whether it's a regional producer, or whether it's a multinational. So, I think we'll continue to get price, in some cases, we may have to go for more this year, we'll just have to wait and see as the first and second quarter develop. As Robert mentioned, as we do believe some of this raw material price pressure will stay with us.
David Begleiter: Thank you.
Operator: Our next question comes from Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Yes, good morning. Charlie with regards to the Valspar wood coatings transaction, I was wondering if you could comment on two things. First, how the margin profile of the acquired business compares to Axalta's overall corporate margin. And then second, how we should think about synergy opportunities as a percent of the acquired sales? Thanks.
Charlie Shaver: Yeah, first of all on the margin, we really can't comment on that one, we are running the business. We certainly don't even run it at this point. So, I think we probably better just hold off on that one and defer that one. But I think you could probably go back into some of the Valspar prior comments over the past year or two about that business and to do kind of the industrial type margin that it has, remember it's part of a larger wood business that they had, so you'd have to go back in there and dig that out. As far as the synergies, synergies for us are not operational in nature. The synergies will be more growth related and they'll be more revenue as we look to add additional products from our portfolio into some of their distribution chain. We're probably not ready to roll out a number around that right now, but they're clearly are same in North America and then again longer-term, we see some global revenue growth from some of these similar products that we'll take outside of the U.S.
Kevin McCarthy: Okay. And then let me follow-up on performance coatings I think you indicated on slide 6 that your pricing was flat on a year-over-year basis to go back to 4Q, it looks like you're running north of 5%. And I was wondering if you could help us reconcile how that has decelerated over the last quarter or so, is it a function of a comparable period for example or something going on perhaps on the industrial side?
Robert Bryant: Kevin, this is Robert, I hate to kind of restate the prior answer in terms of the industrial price mix pressure that we saw in Q1 in particular in Asia Pacific. And then also the mixed FX that we mentioned primarily in industrial but also in refinish, but those again were the main drivers of that change.
Kevin McCarthy: All right, thank you.
Operator: Our next question comes from PJ Juvekar with Citigroup. Please proceed with your question.
PJ Juvekar: Good morning. Charlie where are we in the commercial vehicle cycle, looks like things are improving there after double-digit declines last year and the turnaround you're seeing what is the upside from that in 2017 in terms of EBITDA?
Robert Bryant: PJ, this is Robert, I'll step in perhaps, but just put some initial comments. For us, our biggest market in commercial vehicle is obviously North America heavy-duty truck and I think as you've seen the forecast from ACT get revised up from 2003 units for the year up to 217,000 units and there's some speculation that those builds may move up from there. LMC also put out some forecasts although not exactly the same, on the same relative trajectory. So, overall in that business, I think we hope that we see some return to growth in North America. I think we see potentially early cycle, you might think about that in North America. EMEA and Europe, it's a mixture of different market, but primarily mid cycle, pretty good growth, pretty good performance. And then of course the big opportunity always for us is its China where we continue to have or somewhat nascent position in that market. But we're bringing additional resources on the commercial side as well as additional products to China and those just take a while to gain tractions, but we are confident that through those actions as well as our joint venture would can lead in that market that will be successful in growing that market over a longer period of time. And then lastly, we did see some recuperation in the heavy-duty truck market in Latin America and that includes both Mexico and a little bit of Brazil as well.
PJ Juvekar: Thank you. And on recently you should talk about mile, but can you talk a little bit about volumes in terms of what you are thinking in terms of miles driven or number of accidents on the road? Thank you.
Charlie Shaver: Yes, so we continue to see on miles driven when you look - is still pretty consistent at least that data margin about 3% out year-over-year. As I think that's a function as continued low fuel prices and also just better miles per gallon as far as fuel just less than the essential expenditure of the homeowner and with the newer car sales people are buying new cars and driving them. So, what does that mean for refinish, what it means is I think we'll continue to see probably the refinished market grow about 2% this year in North America. We got good new cars out on the road. Unfortunately, we are seeing an uptick in accident rate, severity rate and most disturbingly brutality in the last couple of years and more charge-offs. So, I would have expected the refinished market to be up more or like 3% given the car sales that we've seen in the last couple of years. However, what I think it's taking a little bit of toll on that is, you are having higher severity rate, which means more charge-offs. So, we talked with a lot of our larger body shops, you just have more totals. Now, that's being reflected in people's insurance premiums and everything else. I think we'll continue to see a good robust market probably grows about 2% fairly we're growing faster than that with some of the consolidation going on in the industry. In Europe, same thing grow about 1% this year. China, we think, China refinished market actually last year was flat overall as to new insurance constraints kicked on the consumer, but we've seen that market picked backup in the last two quarters here probably returning back to more like a 4% to 5% annual growth. So, I think when you look at 93 million vehicles being built around the world this year, up a couple percent, I think the short-term future certainly for refinished looks stable to grow than almost every region.
PJ Juvekar: Great, thank you. Just quickly how big China for you in refinished because that's the market that seems to be growing? Thank you.
Charlie Shaver: So, just - I mean we don't disclose sales, but I think when you look at we're about 16% market share of the total refinished market that we believe based on external data that's out there and we continue to grow their business about 10% a year.
PJ Juvekar: Great. Thank you.
Operator: Our next question comes from Laurence Alexander with Jefferies. Please proceed with your question.
Laurence Alexander: Good morning. Can you characterize a little bit the degree of fragmentation that you are seeing in China in terms of the quality of assets that are available like how many of the or how much of the market is good quality assets that you would like to have relationship with? And then is it getting any easier acquiring control of those assets? And then the 10% figure that you just sighted is that an organic number or is that including sort of small bolt-on M&A?
Robert Bryant: Laurence, I'll take the first one and Charlie will take the second one. And the first one in terms of what we are seeing from an M&A pipeline, there are a number of companies in the mainstream and also especially the economy space out there. They tend to be smaller companies in sort of they tend to - at the large site maybe $50 million in sales top-line. We continue to look at those acquisitions and to pursue those acquisitions. I would say that from a valuation perspective, seller's expectations remain quite high. And they're not only looking at sort of the 15 and 16 times multiples that we're seeing for large deals and you might say in the U.S. or in Europe for transactional reference. They're also looking at how Asian coatings players trading and some of them are trading at 20 times EBITDAR or more. So, sometimes their valuation expectation can be out of sync with where we are in terms of the relatively disciplined approach that we take to valuation. So, it continues to be an area of focus for us, but in terms of quality assets there are quality assets to just a question of getting assets at a price that would allow us to achieve an appropriate return.
Charlie Shaver: And on your question about the growth, all of our growth in refinished to date has been organic. That's coming from a couple of sources, one as we've introduced a couple of mainstream products there, it's also coming from an additional distribution points that in Tier 2 and Tier 3 cities. And then also growth from conversion of soft board shops to waterboard. And we offer our [indiscernible] their water board in the country which is a premium water board and that we had out there. So, it's actually coming from several different segments. Back to Robert's point, I think we will, you will see us distance bolt-ons China we set the couple of years looking a lot of things, in some cases easy assets, back to your question about quality of assets in some cases some of their operations were not in chemical parts. As many of you know in China, dangerous goods transfer, chemical operations and there are lot of scrutiny, so we're being very careful that we don't take on unnecessarily any liability. However, in some cases we may do a couple of bolt-ons but we'll either transfer manufacturing to one of our existing plans or as all of you know we've announced our next expansion at Nanjing and some of it may play into just being sighted there overtime. The quality of assets in some cases is good, but in other cases they're good assets, but they're not located in chemical products or there is issues with logistics and transportation that we're working through. But you will see us probably do one or two acquisitions over the next year and year and a half. As Robert pointed out, people do have fairly heavy expectations on evaluations, but we think we're now narrowing in on the ones that we like.
Laurence Alexander: And then secondly, I don't want to get into the ins and outs of competitor behavior, this is more of a technology positioning question. The [indiscernible] transaction does that longer term change the landscape that have been a long-term secular trend of market share gains in refinished as an opportunity for yourself and one of your competitors. I mean is there a change in the technology landscape because of who owns those assets?
Robert Bryant: Did you mean [indiscernible] or another player?
Laurence Alexander: Yes.
Robert Bryant: I mean [indiscernible] is pre-treatment, and I don't think that changes anything out there. I think that [indiscernible] is a pre-treatment whether that's an OEM or refinish our industrial. There are other suppliers out there, I don't think bundling a pretreatment with coatings, it's pretty rare to said actually really provide any competitive advantage. Obviously, we have a relationship with other pre-treaters where we need to and go in with someone to provide a total solution. But I don't think that there is any - we certainly don't have any interest in getting off into pre-treatment. We think there is much better places to deploy our capital.
Laurence Alexander: Okay, thank you.
Operator: Our last question for today will be Duffy Fischer with Barclays. Please proceed with your question.
Duffy Fischer: Good morning. First question is just around the stock buyback kind of the appetite for that. The tone seems a little bit lukewarm on that. Is this more like you want to put in a floor at the stock where you get hit for some reason, or how volatile will the purchases be if we kind of take a two or three-year view on this program?
Charlie Shaver: Duffy with only about two weeks less than in the quarter after our board approved the actual plan is just simply that in the first quarter at least price conditions were not met in that relatively short-time window to actually initiate any share purchases. Our strategy similar to M&A is to remain disciplined on our buyback algorithm and particularly in light of the Valspar transaction that we had potentially at the door as well as other M&A activity. How we thought about what those thresholds would have to be in the plan that we put in place for the first quarter, certainly had an impact on the price levels that we set that plan to activate and accelerate purchasing at lower prices and flows down at higher prices obviously. So again, our plan is to buy back stock. But, we'll always look at what is the best return for our shareholders in terms of whether it's instead putting that money into an M&A transaction or an internal productivity CapEx project or at something of that nature.
Duffy Fischer: Okay. And then just as tangential to that, is it fair to assume the big acquisition you just announced would be at a discount to your own traded multiple?
Charlie Shaver: Duffy, I think at this point, we would hesitate to comment on anything related to valuation, just given where we are in that process and given the NDA in place that we have will sure one in the bottom up.
Duffy Fischer: Fair enough. Thanks, fellows.
Charlie Shaver: Thanks, Duffy.
Operator: At this time, I would like to turn the call over to management for closing comments.
Charlie Shaver: Yeah, thanks everyone, and really appreciate - at the end as we've highlighted a good quarter for us, good solid start. Our markets remain in good shape as we head into the middle of the year here. I think thus like you probably heard from some of the other players in the marketplace, we do see price creeping in the raw material side. We'll be dealing with that. I think we remain in markets that overtime we certainly can continue to pass that on through. We have worked closely with our customers and as you know this business has 120,000 different customers in the Axalta base. So, there is a lot of people to work with and moving through. We're confident we will. Fortunately, we've taken proactive measures in many cases and our positions on these raw materials, so we remain good supply with multiple sources, and we'll be leveraging that as best we can as we go through the year. But overall, very pleased with the first quarter. I think it's a good start and what continues to be a fairly slow macro environment out there globally. But I think we're navigating it well. We're excited about getting the wood business and then excited to talk to you a little bit more about it. Once we close again, I think the public comments around that have been people hope to that the other parties hope to get their larger transaction closed here sometime in the second quarter and assuming that happens then we follow-up back of that. So, a lot more exciting things to come, and again, as always thanks for your support and your questions.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. And have a great day.